Operator: Hello and welcome to the Streamline Health Solutions' First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. It is now my pleasure to turn the floor over to Jacob Goldberger, Director of Investor Relations. Please go ahead.
Jacob Goldberger: Thank you for joining us for the corporate update and financial results review of Streamline Health Solutions for the first quarter 2022, which ended April 30, 2022. As the conference call operator indicated, my name is Jacob Goldberger. Joining me on the call today are Tee Green, President and Chief Executive Officer and Chairman of the Board; Ben Stilwill, President and CEO of eValuator Solutions; Jawad Shaikh, President and CEO of Avelead Solutions; and Tom Gibson, our Chief Financial Officer. At the conclusion of today's prepared remarks we will open the call for a question-and-answer session. If anyone participating on today's call does not have a full-text copy of our press release announcing these results, you can retrieve it from the company's website at www.streamlinehealth.net or from numerous financial websites. Before we begin with prepared remarks, we want to be sure we are clear for everyone on the record that certain information which may be provided today as with all of our earnings calls should be viewed. We therefore submit for the record the following statement: statements made on this conference call that are not historical facts are considered to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These are subject to risks, uncertainties, assumptions and other factors that could cause actual results to differ materially from those we may discuss. Please refer to the company's press releases and filings made with the U.S. Securities and Exchange Commission, including our most recent Form 10-K Annual Report, which is on file with the SEC for more information about these risks, uncertainties and assumptions and other factors. As always, we are presenting management's current analysis of these items as of today. Participants on this call should take into account these risks when evaluating the topics we will discuss. Please note, Streamline Health is not undertaking any commitment or obligation to publicly revise any such forward-looking statements made today. On today's call we will discuss non-GAAP financial measures such as adjusted EBITDA and unaudited figures related to our acquisition of Avelead. Management uses these measures to help provide better insight into our financial performance. However, certain items of income and expense are not included in these measures. So these calculations may differ from those which another entity may utilize in calculating their own non-GAAP measures. To compare these amounts on consistent terms, please refer to our website at www.streamlinehealth.net and our earnings release for a reconciliation of such non-GAAP measures to the most comparable GAAP measures. I would now like to turn the call over to Tee Green, President and Chief Executive Officer.
Wyche Green: Thank you, Jacob. And thank you all for joining us this morning. Following my opening remarks, Ben Stilwill, President and CEO of eValuator Solutions and Jawad Shaikh, President and CEO of Avelead Solutions will be giving updates on their respective businesses followed by a financial update from our CFO Tom Gibson. As a reminder, on August 16, 2021 we acquired Avelead and their financial performance will be included in our GAAP results from that date.
VAR: This agreement is an outlier in terms of the length of contract as compared to our historical contract terms. However, adjusting for this single 10-year agreement to a typical three-year agreement, we still sit within our quarterly guidance of $3 million to $5 million of bookings for the first quarter of fiscal 2022. While we can’t predict when other large signings like this may occur, we are encouraged by the outcome and what it means for potential additional contracts of this magnitude to drive upside in future periods. Overall, we are seeing operating conditions within acute care hospital systems improving as COVID’s impact lessens and expect continued success in bookings going forward. We maintain our expectation that our bookings performance will be on average in the range of $3 million to $5 million per quarter throughout fiscal 2022. Moving now to our GAAP consolidated financial results for the three months ended April 30, total revenue for fiscal Q1, 2022 was $5.9 million a 101% increase from fiscal Q1 2021. Notably, our SaaS revenue grew 141% year-over-year. On a dollar basis recurring revenue increased $1.7 million or 76% from the prior year period. We have successfully grown our recurring revenues despite the difficult sales environment our industry has experienced for the past two years because of the COVID-19 pandemic. On a pro forma basis, total revenue for Q1 2022 increased 7% and SaaS revenue increased 5% from the prior year. Revenue growth on a pro forma basis is dependent on the timing of bookings and go lives. The company expects year-over-year pro forma revenue growth to accelerate by the end of this fiscal year. First quarter 2022 adjusted EBITDA was a loss of $1.7 million compared to adjusted EBITDA loss of $700,000 in the first quarter of fiscal 2021. As of April 30, 2022 we had $8 million of cash on hand with $10 million of debt related to a term loan which we entered into with Bridge Bank subsequent to the acquisition of Avelead. Our cap table remains clean with only one class of common stock. Tom Gibson, our CFO will provide additional details about our financials during his prepared remarks. Both Avelead and eValuator continue to improve the innovation and service functions of their respective businesses. Avelead is driving significant booking wins with the new and existing clients through its Cerner relationship and the business is maturing rapidly under Jawad’s leadership. eValuator has made rapid progress as well. Over the past nine months we have made investments to extend eValuator’s reach to the professional fee environment and in its direct sales force and leadership team. In addition the inpatient and outpatient the company is now testing eValuator’s use in the physician space, primarily for acute care health care organizations that code for certain physicians. Under the leadership of eValuator’s new Chief Growth Officer, industry veteran, Amy Sebero, and with Ben Stilwill, as CEO and President, we are confident that these investments will begin to yield results in the second half of 2022. I'll now turn the call over to Ben to provide an update regarding eValuator. Ben?
Ben Stilwill: Thank you, Tee and good morning. eValuator’s first quarter was defined by continued efforts to innovate while making strides to provide industry-leading client service. In the quarter, we implemented new features into the eValuator Solution to address our clients’ pain points including staff shortages, rising patient volumes, rapid changes of case mix, and concerns with data security. Additionally, most notably, we recently entered our beta phase for our professional fee eValuator offering. It's a critical addition that allows our clients to centralize coding practices and reporting across a larger spectrum of healthcare centers. We're the first vendor to provide all three modules, inpatient, outpatient and physician billing on a pre-bill basis for auditing using advanced rule set. Our eValuator sales pipeline continues to see growth both in the number of unique hospital logos and in the size of each contract. Many of the contracts in our pipeline today are on average larger than our historical $300,000 ACD. As Tee mentioned, we expect bookings growth to accelerate in the second half of the year as the effects of the sales team transformation comes to fruition combined with growth in our reseller partner channel. And as announced earlier this year, Amy Sebero has joined our company to lead the growth efforts of eValuator Solutions. In the short time Amy has been with us we've already seen noticeable improvement and access to deal flow as well as progress in all stages of prospect discussion. We believe that her extensive relationships and industry expertise will have a meaningful impact on our bookings in the near term. During the first quarter we began visiting our clients onsite and receiving invites for live visits from prospects as well. It's a promising sign that hospitals are beginning to work through their backlog of projects that they differed during the COVID pandemic. Online visits declined and prospects has become clear the hospitals are facing headwinds from their project backlogs and a shortage of both clinical and professional staff. Our key to success will be approaching these healthcare organizations with solutions that reduce or eliminate the effort required to achieve the financial outcomes our software provides. We believe that path will include successfully combining our software solutions with our coding and audit services teams. I will now turn the call over to President and CEO of Avelead, Jawad Shaikh to provide a business update for Avelead. Jawad?
Jawad Shaikh: Thank you, Ben and good morning to all. As we stated on last quarter's call, our largest existing client increased their usage of our solutions to eight new facilities early in the first quarter of our fiscal 2022. Since then we have achieved several milestone contract signings. The first was with an eight-hospital Cerner EHR based health system in Michigan that Tee mentioned earlier. The signings accentuates the strength of our partnership with Cerner which continues to bear fruit. Most recently we executed an agreement with our first meta type EHR facility, demonstrating how the EHR agnostic nature of RevID Allows for broad scaling in our business development activities. So as a reminder, Avelead’s focus for 2022 is to improve the innovation and service components of our business, setting the stage for rapid future growth. With that said, the growth opportunity in 2022 lies in expanding our footprint with existing contracted clients, further we have an exhaustive list of opportunities through our large channel partner Cerner. We have successfully worked with Cerner to build our existing client base and pipeline. Within our sales process we plan to leverage RevID’s proven ROI and satisfied client relationships to drive bookings and revenue in fiscal 2022. Just like eValuator, we see opportunities opening as the impact from COVID retreats within both our direct and partner channels. I'll now turn the call over to our CFO, Tom Gibson, to review our financial results in more detail. Tom?
Tom Gibson: Thank you, Jawad. Total revenues for the first quarter of fiscal 2022 were $5.9 million, a 101% increase over the comparable period of last year. $2.6 million of the increase was attributable to the acquisitions of Avelead on August 16, 2021. SaaS revenue increased $1.7 million or approximately 141% compared to the same quarter a year ago. First quarter 2022 operating expenses totaled $9.1 million compared to $5.4 million for the prior year period. $3.1 million of the increase was related to the acquisition of Avelead. The company increased its spend in innovation during the quarter by approximately $500,000. This increased spend was utilized to deliver several critical enhancements and is not expected to remain at these levels for the entire year. Further, the company saw the full impact of its investments in the quarter for its reformed sales function and travel resumed to a nearly pre-COVID level. Loss from continuing operations for the three months ended April 30, 2022 was $2.8 million compared to loss from continuing operations of $2.5 million for the three months ended April 30, 2021. Loss from continuing operations for the three months ended April 30, 2022 included $90,000 of non-routine cost and other income of approximately $500,000 primarily related to the acquisition of Avelead. The income of $500,000 was a direct result of evaluation adjustment on the acquisition liabilities that were set up in the Avelead opening balance sheet. Adjusted EBITDA for the first quarter of fiscal 2022 was a loss of $1.7 million compared to an adjusted EBITDA loss of $700,000 in the same quarter of fiscal 2021. The higher adjusted EBITDA loss can be explained by the investments made by the company in innovation and sales during the first quarter ended April 30, 2022. Moving to the balance sheet, as of April 30, 2022 we had $8 million of cash on hand compared to $9.9 million at January 31, 2022. The company completed the acquisition of Avelead utilizing approximately $12.5 million of cash, and $6.5 million of restricted stock at closing. Under the acquisition agreement, the company will provide additional consideration on each of the next two 12 monthly anniversaries of the closing date. These will be paid to the sellers in cash and stock and are valued on the balance sheet at approximately $8.3 million. These liabilities are referred to as acquisition earn out liabilities and are an estimate of the present value of the future amounts that will be paid in both cash and restricted common stock upon the anniversary dates of the acquisition. Subsequent to the closing of the Avelead acquisition, we entered into a five-year $10 million term loan with Bridge Bank. There is no repayment of the term loan required in the first year following the close. $500,000 is required in the second year following the close which equates to $41,667 monthly beginning in September 2022. The company maintains its position that the uncertainty related to the effects of the novel coronavirus on the healthcare market prevents us from providing detailed guidance. We are targeting an average go forward SaaS booking pace of $3 million to $5 million of TCV per quarter for 2022. The company is well positioned to achieve its target bookings in 2022. Streamline remains focused on continued growth of SaaS revenue. Going forward we expect SaaS revenue to resume the strong sequential growth that the company experienced through most of fiscal 2021. The company continues to evaluate its consolidated forecast with Avelead. As noted on our previous update we are optimistic that the combined entity will reach cash generation by Q3, 2023. That concludes my review. I will now turn the call back to Tee Green for his closing remarks. Tee?
Wyche Green: Thank you, Tom. We continue to enable healthcare providers to proactively address revenue leakage and improve financial performance and have taken major steps forward to drive diversified recurring revenue streams and better position our company for growth and to deliver significant shareholder value over the long-term. The integration of Avelead into the Streamline Health’s family has been smooth and the product innovation and dedication to our healthcare partners remains a priority and strength across the company. Before we begin our Q&A session, I'd like to thank the entire Streamline team once again for all their hard work and dedication. Their contributions are essential for us to support our healthcare providing clients and ensure they have the necessary tools to free up time and resources to provide quality care for the communities they serve. Thank you all for your support of Streamline Health and our vision. Now I'd like to open the call up to your questions. Operator?
Operator: Thank you.  Our first question today is coming from Matt Hewitt from Craig-Hallum Capital Group. Your line is now live.
Matt Hewitt: Good morning and thank you for taking the questions and congratulations on the strong bookings in Q1. Maybe starting there, and I know you said that the 10-year contract was an outlier, but I'm wondering if you could provide a little color on what drove that length of contract from a decision standpoint and whether or not you're seeing on average a longer contract length in the pipeline?
Wyche Green: Hey Matt, Tee Green, thanks for the question. Yes it's exciting for the company to see 10-year long-term contracts and we started out with kind of three years as our average. We’ve been pushing for the five-year, the 60 months and the 10 years obviously that's the home run. But I don't think we're -- I'd love to see a lot more of those. Maybe we will the way Cerner is taking the deals direct, but Jawad do you want to comment on this?
Jawad Shaikh: Yes I can add some commentary. So I think that kind of speaks to just the partnership and kind of picking back off of some of the Cerner agreements as well too. So if there's a client that’s signing a larger Cerner deal and in this case I think they, the client was signing a 10-year deal with Cerner, we were able to kind of piggyback off of that, and obviously as Tee mentioned that's not the norm, but those are the things that we're going to try to get some more advantages out of jumping on the back of a behemoth like Cerner.
Matt Hewitt: That's great. And then I guess, the mention of Cerner, they were just acquired by Oracle and I'm just curious if, what you anticipate from a change in relationship or is there any opportunity under the new management that you could see maybe Avelead become a greater priority or quite frankly even opened up an opportunity for eValuator?
Wyche Green: Well, I think, and this is Tee, Matt. One that Oracle probably well I know they don't even know who we are in the grand scheme of things, but the Cerner executive team remains intact from everything we know. Our relationship on the -- on the Avelead side will continue to grow and prosper. And just a few weeks ago we introduced the Cerner team to the eValuator side of the business. So that's a new process. It will take some time, but we don't anticipate anything changing for us as it relates to the acquisition.
Matt Hewitt: Understood and then maybe one last one here and I'll hop back into the queue, but you touched on the hospital spending environment a little bit. Obviously it's been a challenging environment the last couple of years. It sounds like it may be starting to improve a little bit and you're actually able to get in and meet with your potential customers and existing customers face-to-face. But you've had a lot of contracts had been kind of trapped in limbo over the past year in particular and I'm just curious how those are progressing now that things appear to be opening up a little bit? Thank you.
Wyche Green: Yes, thanks Matt, Tee again. Yes, I mean, our -- the travel spend is an interesting data point right? The hospitals and health systems are inviting our teams back in, and so that's very encouraging. We have -- we've had a number of contracts in that limbo of legal and we are starting to see those pick up. We're starting to see contracts in red line going back and forth and so that's encouraging. But I’d also point to we have new contracts being asked for. So I would anticipate that that continues. That looks to be the case across the country that health systems are getting back to work.
Matt Hewitt: Got it. All right, thank you very much.
Wyche Green: Thank you, Matt.
Operator: Thank you. Our next question is coming from Kyle Bauser from Lake Street Capital. Your line is now live.
Kyle Bauser: Great, thanks so much for taking the questions. Maybe I'll ask Ben a question on the eValuator business. So of course in the auditing space COVID claims in particular, on a post bill basis have been largely off limits started and that will open up, but for the time there's a hiatus for the hospitals to be able to kind of manage their cash flow in the meantime. But I'm just kind of curious within your clients, how has auditing COVID- related claims been on a pre-bill basis? In other words, has there been a higher rate associated with these types of claims as opposed to the kind of traditional non-COVID claims?
Ben Stilwill: Yes, that’s a great question. So I think early on obviously there was a big spike in the claims all at once and the education that the coder has had was kind of, it felt like live learning basically, and so a solution like ours is great because we got rules in there right away to help catch the things that the coders frankly haven't been able to get trained on yet. But we saw that taper off pretty quickly and so these days we still get a lot of flags encounters, so we’re finding that either the coders -- it’s pretty straightforward for the coders or they're catching it and basically at a coder review level as opposed to needing something that's specialized that has these sort of specialty rule. We still see it as a something that's present on a lot of the specialized cases that we do see. But for the most part the COVID coding itself has improved drastically and now we're back to getting used to the differing demographics I'll say that that are coming in and helping coders and auditors catch those instead.
Kyle Bauser: Got it, I appreciate that. And maybe following up, so Ben you provided a little bit of color around the sales team transformation and of course hiring Amy is helping to kind of lead the growth efforts and increase the deal flow and industry relationships, et cetera. Can you just talk a little bit more and about kind of the key differences between the current sales operations versus before the transformation, and maybe in particular kind of a little bit more granularity about how the new team is going to be more successful going forward?
Ben Stilwill: Sure. So Amy comes from a much larger organization. She's been very successful there and I think what she's been able to learn there is a lot around the art and science of selling. I think the prevalence of our or the importance of our sales operations going forward and metric based and if we look at account based marketing we look at making sure that we monitor sort of the metrics earlier on as opposed to just the large contracts that are later down the pipe. I think that's where she is making a significant amount of impact and so making sure that the reps have what they need as far as inbound opportunities and things like that. So just that sort of experience from a large organization and knowing what works and then obviously the connections that she brings to our organization.
Kyle Bauser: Okay. I appreciate that. And maybe lastly for Tee or Tom, it looks like you anticipate reaching cash generation during Q3 of fiscal 2023. Can you really, are you able to kind of pin that to a certain revenue number?
Wyche Green: Yes go ahead Tom.
Tom Gibson: Thank you, Tee. Well, the way we're looking at it is, we can adjust our cost. We have certain triggers on our costs that we can pull and so we are able to achieve that with or without our projected revenue number.
Kyle Bauser: Got it. Okay, hey thanks for all the updates and for taking my questions. I’ll jump back in queue.
Wyche Green: Thanks Kyle.
Operator: Thank you. We have reached the end of our question-and-answer session and I’d like to turn the floor back over to management for any further or closing comments.
Jacob Goldberger: Thank you all again for your interest and support of Streamline Health. If you have any additional questions or need more information, please feel free to contact me at jacob.goldberger@streamlinehealth.net. We look forward to speaking with you all again when we discuss our second quarter fiscal year 2022 financial performance. Good day.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.